Øyvind Paaske: Good afternoon, and welcome to the presentation of Akastor's Fourth Quarter Results. My name is Oyvind Paaske, CFO; and I'm joined today by our CEO, Mr. Karl Erik Kjelstad. We're also pleased to be joined by the HMH leadership team today from 2 different locations. So we hope that we will run smoothly. They are represented by Eirik Bergsvik, CEO; Tom McGee, CFO; and David Bratton, SVP, Finance. We'll take questions at the end of the session, and you can send them in at any time during -- through the online Q&A function. To kick things off, Karl will walk us through the headline developments from the quarter. Karl, over to you.
Karl Kjelstad: Thank you, Oyvind, and good afternoon, and good morning to our U.S. participants, and thank you to everyone for joining us today. Let us start with the key highlights for the fourth quarter on Slide 2. Akastor continues to be in a solid financial position. We maintain a positive net cash position and have no draw on our corporate RCF. With this backdrop, we are pleased to announce another cash distribution of NOK 0.4 per share, supported by DDW Offshore sale of the Skandi Atlantic vessel in January this year. This marks our third consecutive quarterly distribution and confirms our strategy of returning excess capital to our shareholders while maintaining a sound capital structure. Turning to HMH; the company continues to deliver strong financial performance, illustrated in this quarter by an EBITDA of USD 58 million, corresponding to 28% EBITDA margin. Importantly, HMH also generated USD 66 million in cash flow, underscoring both the quality of its operations and the company's strong value creation capabilities. Also during the quarter, HMH successfully refinanced Nordic bond, lowering financing costs and also establishing an important foundation for potential future liquidity events. The value of our ownership in HMH now represent close to 80% of our total capital -- net capital employed. The book value stood at NOK 3.5 billion at the end of the quarter or almost NOK 13 per Akastor share, somewhat higher than last quarter following the positive earnings contributions from HMH. AKOFS Offshore. The AKOFS Santos vessel was in the fourth quarter formally awarded a new 4-year MPSV contract with Petrobras expected to commence in January 2027. Early this quarter, the current contract was extended to January 2027, ensuring a seamless transition into the new contract and safeguarding earnings for AKOFS through the period. In addition, the Aker Wayfarer was nominated during the quarter for a new 4-year SESV contract with Petrobras, expected to start in the third quarter of 2027 with a final formal signing expected soon. It is again worth noting that our current book value of AKOFS reflects a conservative measure driven by historic costs and the company's accumulated losses to-date. It does not capture the underlying asset values of the strengthened contract portfolio under which all 3 vessels will be operating on new significantly improved terms from 2027 and onwards. We continue to see material upside potential in AKOFS, and we remain focused on ensuring that this value is increasingly recognized over time. DDW Offshore. During the quarter, DDW Offshore completed a fleet refinancing that will reduce future financing costs. The book value of our investment at year-end corresponds to NOK 1.2 per Akastor share, and average book value per vessel of around USD 10 million. Post the quarter, DDW sold the Skandi Atlantic vessel for $22.75 million, significantly above the book value of this vessel of USD 9 million. With that, I'm pleased to introduce HMH's CFO and EVP, Thomas McGee, who will take us through HMH's fourth quarter results. Tom, please, the floors are yours.
Øyvind Paaske: Yes. Thank you. Before I would like to say a few words to open up. Yes. Thank you, Tom. Even though 2025 been a softer offshore market with floater rig years decreasing versus '24, our team truly outperformed operationally, I think, which you can see from both our EBITDA and cash generation in the quarter. And despite in the white space in 2025, we held adjusted EBITDA flat year-over-year, and that I'm really proud of that in a soft market that we had in '25. Now going forward, the feedback from customers that we heard over the last part of 2025 and now into '26 is a market recovery is likely midyear, and we will see an inflection point. And also, I think the recent development with [indiscernible] cutting multiple contracts and getting their fleet to a utilization rate close to 90% is a good sign that, that will happen. Also that in generally, what we see is that the backlog for the drillers are increasing. So we are looking ahead for an improvement. So by that, Tom, please.
Tom McGee: Thank you. Again, as Karl Erik mentioned, ended the year on a high note with adjusted EBITDA of $58 million on an IFRS basis for the quarter, full year at $169 million. So we managed to go flat year-over-year in what was candidly a down market or at least like a down market. Services performances. Our services team finished the year collecting bonuses. Remember, we get bonuses on some of the CSA contracts in Q4, and that tends to make Q4 seasonally strong and Q1 seasonally weak, which has been the history of this business. Strong revenue performance, cash flow from operations, $66 million in unlevered free cash flow. That was great execution on collections, disciplined working capital management and inventory initiatives. We feel like we have under the new org structure, really driven inventory and AR to where we want them and really great work by the operations team and the finance team in delivering on that. And now we have this cash flow that really gives us the chance to grow the business in connection with a potential IPO. Continue to drive improvements through the HMH 2.0 program, enhancements in the engineering and services delivery of our digital offering drove some margin expansion. We consolidated some locations in U.S. and Norway to improve efficiency and tightened spending across the board. So just a great job by the team, as I alluded to as well, continue to capitalize on the Drillform organization acquisition and integrating into our organization and continue to position ourselves well in land and our team is doing a lot of great work on that. We refinanced our bond, giving us a lot more capital structure flexibility and significant growth capital and continue to drive growth initiatives into 2026. So in summary, soft market challenging environment. We still came in flat year-over-year, which we're very proud of. Strong working capital, strong margins and a strong cash flow, and this puts us in a great position heading into 2026 is to quote our customers, not us, the market looks to recover. Go ahead, David.
David Bratton: Great. Thanks, Tom. I'll begin with the total company results and then move into the segment details. Revenue for the quarter was $206 million, down 11% year-on-year, driven by declines in projects and product and down 5% quarter-on-quarter, driven by projects, products and other revenues, primarily driven to reduced backlog entering the period. Adjusted EBITDA in the quarter was $58 million, up 23% year-on-year, primarily due to strong cost efficiencies and positive impact of inventory optimization. Quarter-on-quarter, EBITDA rose 39%, driven by these same factors as well as strong performance in contract service agreements. The adjusted EBITDA rate was 28.2% in the quarter. Orders for the quarter were $175 million, down 17% year-on-year, driven by products and repairs and up 2% quarter-on-quarter, driven by growth in projects and products, partly offset by decline in contract services and Digital Technology Services. Finally, on cash flow, unlevered free cash flow in the quarter was positive $66 million in the quarter, driven by strong inventory management and working capital improvements. We ended the quarter with $97 million cash and cash equivalents on hand. Next, I'll walk you through the product line results in more detail. In aftermarket services, revenue was $103 million in the quarter, flat year-on-year and down 2% quarter-on-quarter, driven by contract services and partially offset by increases in repairs and digital technology. Aftermarket service order intake was $75 million in the quarter, down 18% year-on-year, driven by repairs and digital technology being down 24% quarter-on-quarter, driven by contract services and digital technology. Spares revenue was $58 million in the quarter, up 3% year-on-year and relatively flat quarter-on-quarter, driven by the flat environment in the global offshore market. Spares order intake was $56 million, down 9% year-on-year due to decreased pressure control spares and up 1% quarter-on-quarter, driven by the slight rebound in topside and pressure control spares, partly offset by a slight decrease in land spares. In Projects, Product & Other, revenue in the quarter was $46 million, down 37% year-on-year, driven by the reduced product backlog entering in the period and down 15% quarter-on-quarter due to lower product activity. Lastly, moving to net interest-bearing debt. We ended the quarter with $97 million in cash and cash equivalents and a net debt of $104 million. In December, our $200 million bond was refinanced with a new bond of the same size at an improved interest rate, strengthening the capital structure and reducing future financing costs. Overall, as Tom and Erik said, we're proud of the HMH's team's performance this year and continue to advance our strategic initiatives to strengthen margins and drive operational efficiency into 2026. And with that, I'll turn the call back over to Oyvind and Karl Erik. Thank you.
Øyvind Paaske: Thank you very much, David. I will now take you through the Akastor financials, starting on this Slide 9 with our net capital employed. As Karl already said, HMH remains our largest investment with our net capital employed corresponding to 50% of the book equity value in HMH. The carrying value increased by NOK 99 million compared to Q3, driven by positive net profit in the period. The net capital employed related to NES decreased by NOK 59 million, driven by an updated valuation model in connection with year-end accounting. DDW's net capital employed increased somewhat during the period, driven by positive net cash flow development. Following the realization of Skandi Atlantic in January, DDW's net capital employed will naturally decrease in Q1. AKOFS net capital employed was reduced to 0 in Q3, as Karl mentioned, and remains then 0 also this quarter. As noted previously, continued accounting losses in AKOFS have gradually then reduced our book value, and we now carry no value for our equity stake in the company. And as Karl pointed out, this purely reflects accounting principle and is based on historic cost and does not, as such, reflect underlying asset values. It's worth mentioning here that we do carry the full value of the shareholder loans provided to the company, totaling NOK 428 million per the end of the period, which then are included in our reported net interest-bearing debt. The value of our listed holdings, which at the end of Q4 included ABL Group and Maha Capital decreased by NOK 7 million in the period. Following the realization of Maha Capital in January, part of this value have been converted to cash in Q1. The negative value [indiscernible], which includes smaller financial investments, pension accruals and various provisions remained relatively stable through the period. In total then, our net capital employed increased by NOK 50 million in Q4, driven by HMH. Turning to the next slide for our net debt movements in the quarter. Our total net cash position decreased by NOK 192 million to a cash positive position of NOK 87 million at the end of the period. This was primarily driven by the dividend payment of NOK 0.4 per share or NOK 109 million in total paid out in November as well as the settlement of the remaining seller credit to Mitsui in relation to the buyout of them from AKOFS Offshore of NOK 38 million paid then in Q4. The Q4 net cash position includes a net debt position of NOK 195 million in DDW Offshore per year-end, up from NOK 169 million in the previous quarter, driven by negative cash flow in the period. Total net interest-bearing debt at quarter end stood at a net cash position of NOK 841 million, which includes interest-bearing positions towards AKOFS Offshore and HMH. Looking ahead to Q1, the net debt balance will be positively affected by the realization of Skandi Atlantic and then Maha Capital, partly offset by the approved dividend payment scheduled for February. Moving to the next slide. Here's an overview of our external financing facilities. The DDW Offshore term loan was refinanced during the period with a new USD 24 million reducing revolving credit facility, which will reduce total interest cost significantly and extend then the period to November 2027. NOK 23 million was drawn on this RCF per year-end. Following the completed sale of Skandi Atlantic in January, the RCF was reduced by 1/3 or USD 8 million. Our corporate RCF remained fully available and undrawn at the end of the period and was formally extended in Q4 to June 2027. At quarter end, our total available liquidity was NOK 621 million, including NOK 38 million of cash held through DDW. Then our consolidated P&L. As a reminder, again, most of our holdings, including HMH, NES and AKOFS are not consolidated in our financials. Therefore, the revenue and EBITDA represent only a small portion of our total investments. DDW Offshore delivered revenues of NOK 105 million for the quarter with 2 vessels on contract throughout the period, while Emerald delivered a utilization of 60% after demobilizing from its longer-term contract. EBITDA was NOK 18 million, down year-on-year and quarter-on-quarter, driven by lower utilization and off-hire costs incurred in Q4. Other revenues were NOK 1 million, while other EBITDA was negative NOK 60 million. And as a result, consolidated revenue and EBITDA for the quarter ended at NOK 106 million and NOK 2 million, respectively. Then our net financials. Financial investments contributed negatively by NOK 71 million, driven by the valuation adjustment related to NES. FX accounting effects were positive NOK 18 million, while net interest and other financial income added NOK 3 million and NOK 10 million, respectively, bringing then total net financial items to a negative NOK 39 million for the quarter. Share of net profit from equity accounted investments contributed positively by NOK 62 million, driven by HMH. As mentioned, Akastor no longer recognizes losses from AKOFS Offshore after investments reached 0 in Q3. And with that, I'll pass the word back to Karl Erik. So please, Karl Erik.
Karl Kjelstad: Thank you, Oyvind. Let me then round off this presentation with some reflection on our ownership agenda. Let's start on Slide 15 that have an overview of our investment portfolio. During the quarter, Føn Energy Services was refocused with the selected parts of the business carved out and transferred to a new company called IKM Løfteteknikk, where Akastor holds 33% and IKM holds the remaining 67%. Following this transaction, Føn Energy Services is now a pure offshore wind maintenance provider with -- that is based in the Netherlands. I can also mention that post the quarter end, we completed the further realization of a shareholding in Maha Capital, generating proceeds of NOK 40 million to Akastor. Let's move to Slide 16 and HMH. Most of the details has already been covered by the HMH team, but let me briefly reiterate our ownership agenda for HMH, which remains firm. Maintain a leading market position, expand the business through organic growth and value-adding acquisitions and continue to pursue increased liquidity for investment in HMH. We are optimistic about the outlook for the drilling market from the second half of 2026 and onwards. There is no concrete update regarding a listing process. However, HMH continues to keep its S-1 filing updated and is therefore maintaining readiness for a potential listing. The timing of any public offering will depend on a range of external factors. Let's move to Slide 17, NES Fircroft. NES Fircroft continues to deliver solid results with an EBITDA of 2025, increasing by 5% to USD 148 million despite somewhat challenging recruitment environment. Operational cash flow was strong, increasing with USD 23 million compared to the same quarter last year. This supported a reduction in net interest-bearing debt, bringing the EBITDA ratio down from 1.4x at the end of 2024 to 1.1x at the end of 2025. As mentioned earlier, NES Fircroft is exit ready. And together with the main owner, AEA Investors, we have been exploring several alternatives for some time. However, there's nothing specific to report at this stage, and we will revert with an update where there is more clarity. Slide 18, covering AKOFS Offshore. AKOFS delivered revenues of USD 38 million and an EBITDA of $11 million in the fourth quarter. Operational performance was solid across the fleet with Aker Wayfarer and AKOFS Santos achieving revenue utilization of 97% and 85%, respectively. Santos experienced a brief maintenance stop in October, while AKOFS Seafarer delivered a revenue utilization of 86%, supported by stable operation, but affected some by waiting on weather. From a commercial perspective, the quarter also saw an important contract development. As mentioned previously, AKOFS Santos was formally awarded a new 4-year contract with Petrobras and also Aker Wayfarer was nominated for a new 4-year contract also with Petrobras. And these developments significantly strengthened the company's future outlook. DDW Offshore. Looking ahead, our focus remains on maximizing fleet utilization by continuing to actively assess secondhand market opportunities for potential sale of the 2 remaining DDW vessels after the sale of Skandi Atlantic for USD 22.75 million in January. Finally, let us look at Slide 20, key priorities for Akastor going forward. Akastor strategy remains firmly in place. Our key objective is to develop the companies in our portfolio and when timing and values are right to execute value-enhancing exits. With a strong net cash position and no draw on our corporate facilities, we are well-positioned to act with flexibility and patience, allowing us to maximize value when attractive opportunities arise. We believe the mentioned sale of Skandi Atlantic at a value significantly above book value as well as the sale of our shares in Maha Capital both completed post the quarter, are strong demonstrations of the disciplined strategy and our ability to maximize value. So this concludes the formal part of the presentation. I guess we can move to the Q&A session and maybe take a brief pause before we open up for questions.
Øyvind Paaske: Yes. Thank you, Karl. We'll just pause for a minute or so in order to regroup and get back to you with the Q&A session.
Øyvind Paaske: Okay. Thank you. So we're back. We received a few questions on the same topic. So I'll take one to HMH, and I'll direct it to you, Tom, and Erik. HMH delivered a margin -- a strong margin of 28% and USD 66 million of free cash flow. Can you elaborate a bit more on which operational improvements or cost initiatives that contributed the most and how sustainable you see this margin going into 2026?
Tom McGee: Yes. We can't give forward-looking statements. I will say that a couple of things are worth noting. One, as I said, we get bonuses -- CSA bonuses in Q4. Those always contribute heavily to Q4. So you need to look at Q4 versus Q4 and Q1 versus Q1. We'll start there. Secondly, though, we have made some cost improvements throughout the year that should continue to reflect in the next several years. So I don't want to get more specific than that, but we did have some facility consolidation. We've driven some manufacturing costs out of our core products and have driven efficiency on the manufacturing side and have just taken care of some of the overlap when we combine the 2 organizations. Other than that, it's really a focus on growth now. And I think we have got a setup of where our fixed cost base is now. We can scale the business off of it. So -- and that's what we plan to do.
Øyvind Paaske: Thank you, Tom. Then a question regarding AKOFS. I'll direct that to you, Karl. AKOFS has strengthened their commercial pipeline, including the new award for AKOFS Santos and the nomination for Wayfarer. What does this mean for the potential to realize values as an owner of AKOFS?
Karl Kjelstad: Well, for AKOFS, as I mentioned, the commercial outlook has strengthened significantly with 2 vessels now contracted into 2021 and 2/3 through 2028. So we have a solid and long horizon that will support both earnings and earnings visibility. However, the cash flow will remain somewhat limited until late 2027 due to CapEx requirements and also the remaining [indiscernible] payments on the Wayfarer. But beyond that point, cash generation profile will be strong and attractive. So given this development, we continue to evaluate strategic alternatives for AKOFS from what we consider to be a stronger position. And this may include value unlocking initiatives over time, such as potential separate listing or other strategic options, although it's too early to be very specific at this stage. In parallel and connected to this, we look at refinancing solution, both for the Santos facility and the Wayfarer structure as the lease approach expiry and also by that aim to unlock future value.
Øyvind Paaske: Thank you, Karl. Then I think we have one last question. We'll round off with that, which I also direct to you then, Karl. What is the most likely outcome for NES listing or M&A deal?
Karl Kjelstad: I don't comment on M&A before it's concluded. So what is likely, I will not comment on. But what I can say is that we would prefer a sale towards a listing, and that's simply because then we will receive the proceeds immediately. While with the listing, we have to unlock the proceeds over some time. So I think that's my comment.
Øyvind Paaske: Great. Thank you very much. And I believe that concludes our session. We'd like to thank the HMH team for participating and all others for your attention, and we look forward then to welcoming back for our presentation of our first quarter results in April. Thank you very much.